Operator: Good morning and welcome to Monmouth Real Estate Investment Corporation’s Second Quarter 2016 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions]. Please note this event is being recorded. It is now my pleasure to introduce your host, Ms. Susan Jordan, Vice President of Investor Relations. Thank you, Ms. Jordan. You may begin.
Susan Jordan: Thank you very much operator. In addition to the 10-Q that we filed with the SEC yesterday, we have filed an unaudited quarterly supplemental information presentation. This supplemental information presentation, along with the 10-Q are available on the company’s website at mreic.reit. I would like to remind everyone that certain statements made during this conference call which are not historical facts may be deemed forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. The forward-looking statements that we make on this call are based on our current expectations and involve various risks and uncertainties. Although the company believes the expectations reflected in any forward-looking statements are based on reasonable assumptions, the company can provide no assurance that its expectations will be achieved. The risks and uncertainties that could cause actual results to differ materially from expectations are detailed in the company’s second quarter 2016 earnings release and filings with the Securities and Exchange Commission. The company disclaims any obligation to update its forward-looking statements. Having said that, I’d like to introduce management with us today: Kevin Miller, Chief Financial Officer; and Michael Landy, President and Chief Executive Officer; Eugene Landy, our Chairman is not with us today as he is attending the MHI Conference this week. It is now my pleasure to turn the call over to Monmouth’s President and Chief Executive Officer, Michael Landy.
Michael Landy: Thanks, Susan. Good morning, everyone and thank you for joining us. We are pleased to discuss our results for the second quarter ended March 31. Following last quarter’s 506,000 square feet in new acquisitions at an aggregate cost of $50.4 million, this quarter saw continued external and internal growth. During the quarter, we acquired a brand new 126,000-square foot built-to-suit facility for $20 million leased to GE for 10 years located in the Pittsburgh MSA. This asset situated 3 miles south of the Pittsburgh International Airport serves as GE’s global research center for additive manufacturing. GE has made a substantial investment in leading-edge 3D printing technology inside this facility. Jeff Immelt, GE’s Chairman and CEO as well as other GE executives recently hosted an opening ceremony here and you could find related pictures and articles from this event up on our website. We’re extremely proud to add GE to our high-quality tenant roster. Subsequent to quarter-end, we acquired a brand new 210,000-square foot facility for $30.7 million leased for 15 years to FedEx Ground in the Seattle, Everett Washington MSA. This property is directly off of Interstate 5 and is in close proximity to Boeing’s large manufacturing plant in Everett. With this new acquisition, our portfolio of high quality industrial properties is now geographically diversified from coast-to-coast. Thus far, this fiscal year we have increased our gross leasable area by 842,000 square feet representing a 6% increase. We remain very excited about our best-in-class acquisition pipeline which comprises seven development projects valued at $197.9 million representing 1.9 million square feet scheduled to close over the next six quarters. And keeping with our business model, all of the deals consist of brand new built-to-suit projects currently under construction with long-term leases to investment grade tenants. These properties are located near major airports, major transportation hubs and manufacturing plants that are integral to our tenants’ operations. The cap rates on these deals average approximately 6.7% and the weighted average lease maturity is 13.5 years. Subject to satisfactory due diligence, we anticipate closing these transactions upon completion and occupancy. To take advantage of today’s attractive interest rate environment, we have already locked in very favorable financing for six of these acquisitions which represent an aggregate cost of $165.8 million in total 1.5 million square feet. The combined financing terms for these six acquisitions consist of $112.3 million in proceeds presenting 68% of the total cost. These financings have weighted average interest rate of 3.89% and are 15 years self-amortizing loans. These six acquisitions will result in a weighted average levered return on equity of approximately 16%. Our gross leasable area now stands at 14.8 million square feet and consists of 95 properties geographically diversified across 30 states. Our weighted average building age is currently 10.3 years representing the youngest portfolio in the industrial REIT sector. Building age is very important metric as demand for modern, industrial space driven by the rapid growth in the e-commerce channel is by far the primary driver of the positive net absorption trends our property type has been experiencing. At quarter end, Monmouth’s property portfolio was 99.6% occupied representing the highest occupancy rate in the industrial REIT sector. Our occupancy rate is up 80 basis points over the prior quarter and 210 basis points over the prior year. Our weighted average lease maturity at quarter end was 7 years as compared to 7.2 years in the prior year period. Subsequent to the quarter end, we entered into a sale agreement to sell our only vacant building consisting of 59,425 square feet situated on 4.8 acres located in White Bear Lake, Minnesota for approximately $4.3 million which is our approximate carrying value. This sale is subject to the purchaser’s satisfactory due diligence. In fiscal 2016, approximately 2% of the company’s gross leasable area consisting of three leases totaling 326,000 square feet was scheduled to expire. We are pleased to announce that all three of these leases have been renewed giving Monmouth the 100% tenant retention rate once again for fiscal 2016 compared to 100% in fiscal 2015. These renewed leases have an average term of 4.1 years and an average GAAP lease rate of $4.20 per square foot and a cash lease rate of $4.04 per square foot. This represents an increase of 5.3% on a straight line GAAP basis and a decrease of 2.2% on a cash basis. As we announced last quarter, we currently have a large expansion in progress at our Milwaukee Tool facility in the Memphis market. This expansion is expected to be completed this summer and it will provide approximately 246,000 additional square feet taking this building to a total of 862,000 square feet. This expansion will result in a new 12-year lease extension from the date of completion. The expansion costs for this project are expected to be approximately $10.2 million and average annual rent will be increased by approximately $960,000 per year. Continuing to build on the numerous property expansions that we have done for FedEx over the past several years, we currently have three FedEx property expansions in progress consisting of two building expansions and one parking lot expansion. Total expansion costs are expected to be approximately $8.2 million. Upon completion of the three FedEx expansions, annual rent will be increased by approximately $822,000. The two building expansions will provide 66,000 additional square feet and each of the three expansions will result in a new 10-year lease extension from the date of completion for each property being expanded. The total increase in annual rent for these expansions will be $1.8 million. In addition to our core business of investing in single-tenant net lease industrial properties are long-term leases to investment grade tenants, we also invest in marketable REIT securities when they are available at compelling discounts to the net asset value of the underlying real estate. Said differently, when real estate is substantially cheaper on Wall Street than it is on Main Street, we allocate capital accordingly. In addition to this arbitrage advantage, a major benefit to this strategy is that these liquid real estate investments substantially enhance our overall balance sheet liquidity. While we limit our REIT securities investments to approximately 10% of our gross asset value, we have generated substantial returns since this program’s inception back in the late 1990s. Our investments in marketable REIT securities have performed extremely well thus far in fiscal 2016. As a result of taking advantage of substantial discounts in the REIT marketplace, our securities portfolio has grown from $54.5 million at fiscal year-end to $68.6 million at quarter-end. Our unrealized gains swung from an unrealized loss of $5.4 million at fiscal year-end to an unrealized gain of $2.1 million at quarter-end resulting in an increase for the 6 months ended March 31, 2016, of $7.5 million. In addition, we generated realized gains of approximately $879,000 during the quarter. Furthermore, we’ve recognized dividend income on our REIT securities investments of $1.4 million this quarter, representing an increase of 44% from the comparable period one year ago. For a more long-term perspective, since 2010, we have generated net realized gains of over $25 million in addition to the substantial dividend income that these investments have generated. We are very pleased with the total returns that we have generated over the long-term with this strategy. And fiscal 2016, is shaping up to be another excellent year for our portfolio. We will continue to look for pricing discrepancies between the private and public real estate markets and take advantage of opportunities as they arise. With regards to the overall U.S. industrial market outlook, following last year’s strong performance, 2016 is off to a very good start with approximately 58 million square feet of positive net absorptions during the first quarter marking the 24th consecutive quarter of expansion. The national average vacancy rate continues to improve and is currently 6.1% representing a 20-basis point decline over the quarter and a 70-basis point decline from the prior year marking the lowest level in 30 years. This increased demand is also driving rents higher to an average asking rent of $5.44 per square foot representing a 3.8% increase over the prior year period. New construction increased 18.9% over the prior year period with 175.8 million square feet currently under construction. It is interesting to note that due to the declining vacancy rates and strong demand for modern industrial space, over 60% of the developments currently under construction are speculative projects. Consumer spending and e-commerce activity continue to be the big demand drivers for industrial space. With e-commerce sales growing five times faster than overall retail sales, demand for modern industrial space is expected to remain strong. The U.S. economy continues to deliver weak GDP growth with the initial read on the first quarter of 2016 weighing in at 0.5%. As e-commerce sales are consistently generated substantially higher annual growth rates than traditional retail sales, averaging approximately 15% per year, we feel very good about the industrial sector’s ability to continue to outperform going forward. Lastly, the Panama Canal Authority has started taking reservations for transit through the new expanded canal which after 9 years of construction is scheduled to open on June 27. East Coast and Gulf Coast ports have benefited over the past several years from increased shipping container growth. We expect the expanded Panama Canal to be a major factor in shifting the global supply-chain in a manner that will meaningfully benefit Monmouth’s geographic footprint over time. And now Kevin will provide you with greater detail on our results for the second quarter of fiscal 2016.
Kevin Miller: Thank you, Michael. Core funds from operations for the second quarter of fiscal 2016 were $11.5 million or $0.18 per diluted share. This compares to core FFO for the same period one year ago of $8.4 million or $0.14 per diluted share representing a 29% increase per diluted share from the previous year. Adjusted funds from operations or AFFO were $0.17 per diluted share for the recent quarter as compared to $0.14 per diluted share a year ago representing a 21% increase from the previous year. This marks our fourth consecutive quarter of over 20% per share AFFO growth. We expect per share AFFO to continue to grow as the high quality properties and our acquisition and expansion pipeline come online. Rental and reimbursement revenues for the quarter were $23 million compared to $18.9 million or an increase of 22% from the previous year. Net operating income was $19.2 million for the quarter reflecting a 21% increase from the comparable period a year ago. This increase was due to the additional income related to the six industrial properties purchased since the prior year period. Although most of our growth is attributable to acquisitions and expansions, we have been able to grow organically as well. Same-store NOI for the quarter increased 2.3% on a U.S. GAAP basis and increased 3.5% on a cash basis. As Michael mentioned, occupancy at quarter end was 99.6% compared to 97.5% one year ago, representing a 210-basis point improvement over the prior year period. Our average lease maturity as of the end of the quarter was 7 years as compared to 7.2 years a year ago. Our average annual rent per square foot was $5.57 as of the quarter-end as compared to $5.44 a year ago, representing an increase of 2.4%. This average rent is in line with the current national average rent of $5.44 per square foot. As of the end of the quarter, our capital structure consisted of approximately $506 million in debt of which $406 million was property level fixed rate mortgage debt and $100 million were loans payable. 81% of our total debt is fixed rate with the weighted average interest rate of 4.6% as compared to 5% in the prior year period. We also had $111 million in perpetual preferred equity at quarter-end. Combined with an equity market capitalization of $780 million, our total market capitalization was approximately $1.4 billion at quarter-end. From a credit standpoint, we continued to be conservatively capitalized with net debt to total market capitalization at 36%, net debt plus preferred equity to total market capitalization at 44%, fixed charge coverage at 2.5 times and our net debt to EBITDA at 6.8 times for the quarter. From a liquidity standpoint, we ended the quarter with $9.9 million in cash and cash equivalents. We also had $35 million available from our credit facility as well as an additional $70 million potentially available from the accordion feature. In addition, we held $68.6 million in marketable REIT securities at quarter-end, representing 6% of our total un-depreciated assets. As previously mentioned, at the end of the quarter, we had $2.1 million in unrealized gains in our securities investments in addition to the $887,000 in gains realized thus far in fiscal 2016. And now, let me turn it back to Michael before we open up the call for questions.
Michael Landy: Thanks, Kevin. In summary, Monmouth’s strong performances continued throughout this most recent quarter. Our AFFO per share of $0.17 this quarter represents a 21% improvement over the prior year period and results in our fourth consecutive quarter of above 20% AFFO per share growth. The high quality of Monmouth’s portfolio is evidenced by the 100% tenant retention rate we have now achieved for the second consecutive year. In so doing, we have generated increased rents of 5.3% on a GAAP basis. Our sector leading 99.6% occupancy rate at quarter-end also underscores the high caliber of our properties and our excellent tenant base. We opportunistically locked in over $112 million in 15-year financing at weighted average interest rate of 3.89% to help fund our robust acquisition and expansion pipeline. As a result, we expect to see continued earnings per share accretion in the ensuing quarters as these new developments continue to come online. We are very pleased to have recently added GE as a tenant to our portfolio of high quality investment grade tenants. The team at Monmouth remains very focused on continuing to deliver positive long-term results and we look forward to building upon this substantial growth that has been achieved. We’d now be happy to take your questions.
Operator: [Operator Instructions]. And our first question will come from Craig Kucera from Wunderlich. Please go ahead.
Craig Kucera: Hi good morning guys.
Michael Landy: Good morning.
Craig Kucera: I have a few questions I just want to make sure with the acquisition pipeline of 198 million, that’s net of the $31 million property you closed earlier this quarter in Seattle, correct?
Michael Landy: That’s correct.
Craig Kucera: Okay. So, I guess my question is; one of your competitors acquired a private REIT earlier this quarter for about $200 million. FedEx, as we discussed in the past has grown quite a bit, you’ve grown along with that, but actually that growth would probably slow down. Do you foresee Monmouth ever pivoting more towards any private portfolios or do you think the property is going to continue to pursue the sort of one-off merchant building model?
Michael Landy: The latter Craig. The reason is, we’ve seen portfolios marketed over the years. And we’re not trying to be the biggest REIT we’re trying to be the best REIT as far as the quality of our assets. We grow our portfolio, with long-term leases to invest in great tenants. And I defy you to show me a portfolio of single-tenant net lease industrials on long-term leases to investment grade tenants. There just is no such thing. And to look at a portfolio and try to cherry pick out the assets that meet our criteria, they won’t allow that. The whole reason they’re bundling it together is to sell it and one fell swoop. So, I really, I don’t want to ever say never. But because we focus on really high quality assets on long-term leases to investment grade tenants will continue to grow methodically, qualitatively. And FedEx is doing $1.6 billion in new constructions, FedEx Ground that’s the e-commerce division is growing to the tune of $1.6 billion a year. So, fortunately in an environment where there is not a lot of new construction, we’re getting more than our fair share of new quality deals.
Craig Kucera: Got it, well, I think you’re right on that investment grade portfolio. Do you think at some point that the rating agencies will give you credit for that? Have you had any recent discussions with them about maybe moving forward investment grade rating?
Michael Landy: We haven’t sat down with the rating agencies per say. We’ve sat down with advisors who know the various matrixes that Moody’s and S&P look at. And we’re really close, and Kevin’s spoken to this in the past, so if he wants to chime in it’s great. But the things that have held us back in the past are asset size, unencumbered assets, NOI being generated by unencumbered assets. And just looking pro forma, by the end of fiscal ‘16 heading into fiscal ‘17 which begins October 1, we feel confident that we’ll check all the boxes and be able to get a good investment grade rating. There is a lot of matrix criteria where Monmouth stands head and shoulders above all the REITs, the percentage of revenues secured by investment grade tenants to quality of cash flow. So, in a lot of regards, we’re really high investment grade caliber. We always view ourselves as investment grade, as providing an investment grade cash flow because it’s all generated by high-quality tenants. But the size has been the key factor holding us back. And we’re growing and it’s one of our near-term goals, is, to get an IG rating.
Craig Kucera: Got it, got it. Do you think the relationship with GE may lead to additional acquisition opportunities or was this more like a one-off?
Michael Landy: No, we view our tenant roster as a huge asset. And we cultivate long-term relationships with all our tenants because we want to grow that relationship. So we hope this would be the first of many deals with GE as a tenant for us.
Craig Kucera: Okay, great, one last one. You did mention the Panama Canal I think there is a current view point that maybe some of the ports aren’t really ready to handle the larger ships, so the benefit of that might be a bit delayed? But can you say this bigger picture has the impending expansion, has that had any impact on pricing? And do you think if things are slower than expected, you might be able to get better cap rates from some of the transactions you’re looking at?
Michael Landy: Well, you were absolutely right that although the canal will be operational, the expanded canal at the June, there is a lot of infrastructure work right here in our area raising the Bayonne Bridge for instance and dredging in other ports that’s going to take years. And these ports are spending billions of dollars to get the infrastructure ready to handle these larger ships. And some ports are ready and some ports are - it’s going to take several years. But even prior to the expanded canal coming online, we’ve seen benefits in supply chain moving away from the West Coast. West Coast Shipping container was 57% of traffic and it’s down to 52% over the last four years and the canal is not even in operation. So, already you’re seeing a migration and a benefit towards the East and Gulf Coast ports and the canal is yet to come online. Yes, certain ports have seen a lot of competition and cap rates have come down in certain areas. The inland ports are benefiting because you can’t take all the shipping containers and leave them right at the port, it’s already too congested. So you’re seeing ports such as Memphis, Indianapolis, Chicago, Dallas Fort Worth, Kansas City etcetera benefiting as well. So, it just results in more trade, more demand for industrial space. And certain markets are seeing cap rates come down.
Craig Kucera: Okay, great. Thanks a lot for the color Michael.
Michael Landy: You’re welcome.
Operator: Our next question will come from John Benda of National Securities Corporation. Please go ahead.
John Benda: Hi, good morning guys, how are you today?
Michael Landy: Good morning, John.
John Benda: So, just quickly on your comments that you guys are now diversified from coast-to-coast. Can you talk to us about how you balance when you’re thinking about acquiring or expanding, how you balance out entering a new market versus building scale on existing one and what kind of leverage out of operating platform you look for when you seek to build vessels in existing market?
Michael Landy: Well, because we’re tenant quality driven, we let location take a backseat. If FedEx needs a property near the Boeing plant in Evertt Washington, that’s for them to determine. And we’ll end up in that market. But for us to have this, strict criteria that we do, single tenant, net lease industrials are long-term leases to investment grade tenants. And then take it one step further and we find it top 30 MSA markets, would be too stringent, a criteria. So, we let the tenants determine what location we’re at. And because these are really strong tenants, they tend to be near the airports and tend to pick locations that are just high-quality locations.
John Benda: Okay, great. And then on some of the new acquisitions, could you comment on the stabilized cap rates of those or maybe just the cap rate differential, is this the portfolio of new extensions?
Michael Landy: Go ahead, Kevin.
Kevin Miller: As far as like what we’ve closed on recently, the first quarter we closed on two acquisitions, the cap rate was in like 6.7% range. And then we closed on an acquisition the second quarter like the 6.5% range. And subsequent to year-end, we closed on the actions you mentioned in Seattle in the 6.5% range. And we’re able to walk in financing in sub 4% which generates two to three quarter percent spread. So we feel the cap rates are what’s at market. And we feel it generalizes what our whole portfolio is. We feel we probably trade at a lower cap rate than that on our whole portfolio.
Michael Landy: But just to jump in, we’re trading at an implied cap rate in the low 6s using pro forma NOI. Given the quality of our portfolio and portfolios that have transacted recently in our space, the cap rate could easily be 100 basis points lower than that. You’re seeing the spreads widen between quality tenants on long-term leases versus your older buildings, less quality tenants, multi-tenant buildings. So, I think a reason for that is the CMBS market is not as liquid as it was. Pricing is higher in the CMBS market and therefore cap rates in that market have stabilized or trended higher while long-term leases to investment grade tenants, cap rates have continued to come down. We’re not subject to that market, we’re strictly as I’ve said several times, single tenant, net lease industrials on long-term leases to investment grade tenants. And therefore we get secured financing with the life lenders with very good terms, this we said in our prepared remarks, which were as good as an investment grade rated issuer could do in the unsecured market if not better.
John Benda: Okay. And then quickly lastly, the pipeline of $100 million, does that include any type of expansion activity in there or is that all just kind of acquisition?
Michael Landy: It’s all brand new acquisition, so on top of that we have in expansions, what do we have in expansions, Kevin, I know it’s another…
Kevin Miller: About $18 million.
John Benda: $18 million, all right, great. Thank you very much.
Michael Landy: You’re welcome.
Operator: Our next question will come from Paul Adornato of BMO Capital Markets. Please go ahead. Mr. Adornato, your line is open. Your line maybe muted please go ahead with your question.
Michael Landy: Well, Paul’s always got good questions, we’ll move on.
Operator: Okay. Our next question will come from Paul Adornato from Michael Boulegeris from Boulegeris Investment Incorporated. Please go ahead.
Michael Boulegeris: Good morning, thank you for taking my questions and congratulations on another quarter of crisp, strong execution.
Michael Landy: Thanks Mike.
Michael Boulegeris: Michael, could you give us some maybe additional clarity on your current bidding activity and maybe could you, maybe segment it from FedEx and non-FedEx what you’re seeing in the marketplace and give us some sense as to what we might expect in the next half of the year?
Michael Landy: Well, we have bids out on deals where I could tell they’re hoping will sweeten the offer and we’re standing firm. We may lose those deals. But I can’t tell you the relationship with the builders and the relationship with the tenants is worth certain amount of basis points. So it doesn’t necessarily go to the lowest cap rate bidder. But given what happened in the public market, starting back in August through February, real estate was trading at ridiculous prices on our computer screen. And so we were very fortunate that we didn’t continue to allocate capital to ever decreasing cap rates on Main Street when we could buy real estate much cheaper in a liquid market. These deals are not widely negotiated deals in the public market, they’re just securities trading. And they can get really inefficient. I hope that answers your question. But we still see 20% to 25% growth in GLA going forward. I’m confident the expansions will continue. We have a lot of expansions under discussion. We’ve done 14 property expansions over the last three years. And we’re continuing to see tenant request to expand properties. So we will be able to generate growth that way. And we have bids out on other deals. I’m not saying we won’t win those deals but I can only stick my neck out so far.
Michael Boulegeris: I understand, I just was curious as to, I think your supplemental indicated that 93% of your current pipeline is FedEx related and certainly when you secure acquisitions like the recent GE that’s so positive as well. I guess, second question regarding, a follow-up to Craig’s regarding your journey to an investment grade credit rating. Do you Kevin or Mike, believe that should you succeed in the coming let’s say 12 to 18 months in that timeframe, do you think that you’re going to come in at the lowest run of the investment rating or is there a possibility that you can do better when you actually do secure that investment grade credit rating?
Michael Landy: That remains to be seen Mike, I can’t tell you under REITs, you can overshoot if you - there are a handful, maybe five REITs that are A-rated. And sometimes we don’t want to be so highly rated because it really handcuffs you to maintain such a high rating. So there is a sweet-spot, in the BBB, BBB plus range. Will we come out there or start a BBB minus, I don’t know. Certainly you want to cushion, you don’t want to have a rating where you fall off and lose that rating. So, there is good aspects to having a rating, it’s holistic, it keeps you very motivated and conservative. But you don’t want to have too higher rating where you’re hamstrung from delivering the types of returns we’ve delivered in the past. And don’t forget, this is the best of both worlds. You’re getting investment grade cash flow without the rating right now. So you get on a risk adjusted basis high yield and low risk.
Michael Boulegeris: I appreciate that. And just want to follow-up to earlier comments on the White Bear Lake, maybe Kevin, can you guide us, is it reasonable for us to expect that to close by the end of the first half of the year or calendar year?
Kevin Miller: We expect to close by the end of this fiscal year, probably late summer, maybe early fall.
Michael Boulegeris: Okay. And finally, Michael, with regards to total return, arguable Monmouth is very well positioned in e-commerce to your FedEx relationship, FedEx Ground. And certainly the Panama Canal only enhanced the strategic weighting of your portfolio here on the east coast and the Mid-Atlantic States in the Southeast. Do you believe that given these strategic trends in e-commerce and commerce, the Panama Canal, that perhaps the intrinsic value of Monmouth’s portfolio is under-valued? And might you share with us your thoughts on total return? I think quite a bit of attention is given to the income variable, but on the other side of the properties, could you share with us maybe your recent thoughts?
Michael Landy: Well, historically two thirds of the total return is the income and one third is depreciation. And because we’ve owned a lot of assets a long time, Gene is always fond of pointing out that embedded in our balance sheet is over $250 million in gains. And as these cap rates keep going lower and lower, those gains increase. One thing Kevin and I focused on was making sure our dividend was secured by income not those gains, and we’ve done that and raised the dividend and we have a cushion and we’ll continue to go down that path. But the beauty of real estate is with population growth and GDP growth, it tends to, over time, make money while you’re asleep. Now industrial has some major tailwinds and catalysts that are going to really benefit our portfolio and e-commerce is the biggest one. And as you mentioned the Panama Canal is another one. But e-commerce is growing to the tune of $5 million in increased sales every year. I think we’re very early in this new paradigm shift. FedEx is expanding with great alacrity. Amazon is talking about supplementing the network and the capacity does need to be increased. And so, e-commerce is a great position to be in. And if you own real estate and you want to be levered to the digital internet ecosystem, well, FedEx is the most profitable e-commerce giant. And Monmouth has great exposure to FedEx. I can tell you e-tailers are building large buildings next to our FedEx buildings. Wal-Mart is building 2 million square feet next to one of our FedEx buildings that’s 1 million-square foot each two buildings adjacent on the east and the south to our FedEx building. And that’s just going to continue. So, FedEx locations are by virtue of being nodes in their transportation network, they’re very valuable locations. And as a magnate, other people are coming there. And that’s to your point that over time these assets will just increase in value.
Michael Boulegeris: I appreciate that color. Thank you.
Michael Landy: You’re welcome.
Operator: Ladies and gentlemen, this will conclude our question-and-answer session. I would like to turn the conference back over to Michael Landy for any closing remarks.
Michael Landy: Well, thank you operator. I just want to mention as I did last quarter that our new Annual Report is available. We spend a lot of time and thought producing our Annual Report. And we’re especially proud of this new report. So please contact Susan Jordan. We’ll be happy to FedEx you out a copy. I’d like to thank everyone for joining us on this call and for the continued support and interest in our company. As always, Kevin, Gene and I are available for any follow-up questions. We will be presenting at NAREIT’s REIT Week Conference this June, and we hope to see everyone there. We look forward to reporting back to you after our third quarter. Thank you.
Operator: The conference has now concluded. Thank you for attending today’s presentation. The teleconference replay will be available in approximately one hour. To access this replay please dial U.S. toll free 877-344-7529 or international toll at 1-412-317-0088. The conference ID number is 10080985. Thank you. And please disconnect your lines.